Operator: So good morning, everyone. My name is Stuart Chambers, Chairman of Anglo American. It's my pleasure to welcome you to our 2019 Half Year Results Presentation. And I just wanted to cover two things before I hand over to Mark. I wanted to touch, first of all, within HSE, I want to just touch on safety. Mark will cover this shortly in his presentation, so I won't duplicate. But I do want to share with you that the Board of Anglo American is very engaged in this. We are very clear that it's a journey. It's by no means a job done. There is a lot more to do. And in fact, we're pretty clear now on the things that we have to change to ensure that we continue to improve in this area, build on the improvements we are already making in the underlying measures, but of course, importantly, to eliminate fatalities. And as I said, Mark will cover this again quite shortly. The second thing to do is simply to update you on Board changes. Since we last spoke in this forum, which was the full-year results in February. So since then, Jack Thompson, one of our two mining non-execs retired, having term served with nine years. And we're very pleased to been able to bring in Marcelo Bastos to get us back to two miners within our own non-execs. And Marcelo, of course, is also – he's Brazilian, but even more importantly, he has extensive mining experience in South America, an increasingly important part of our operations. Then I don't know if you saw it, but two days ago, we announced then some further changes, which is that Nolitha Fakude, steps down from the Board, which is a loss, our South African non-exec Director one of them. But I'm pleased to say that, we're not losing her because she is stepping down because she is taking out a full-time executive role in Mark's Senior Executive team, leading down in South Africa. We're then bringing in two new non-execs, one directly replace Nolitha, and the second also South African to ensure that we sustain our target level, which is that we wish to have two South African non-execs overtime in our Board to, again, stress the importance of that part of our operations. So in that respect, we're bringing on Hixonia Nyasulu and Nonkululeko Nyembezi and they both join in November and January, respectively. So that's enough from me. Thank you. I'll hand over to Mark.
Mark Cutifani: Thanks, Stuart, and good morning, ladies and gentlemen and thanks for joining us today. And I would like to acknowledge my colleagues here in the room. And as always, we'll be available after the session for additional questions that you may have. And certainly, from my point of view, I encourage you to talk to the guys and hear their version of events. I'd also like to acknowledge both Ruben and Themba. Themba just on the GMC. So this is his first session. Themba is the CEO of Kumba. So if you've got really tough questions, we'll throw them to Themba. And Ruben has just taken over the copper business from Duncan. And we've had a good performance. Both of them are taking credit for the improving performance in copper at the moment. So I'm sure when you talk to both of them and you'll get two versions of that story. For us, the order of match for today very consistent with what we've done in the past. I'll kick away with an overview of the results. Stephen will pick up the financials and really pull apart the numbers, and help give you a bit of sense of how we got there. And then, I'll add some insights in terms of where to from here. And I think that's an important point to make as we pick up conversations around buyback. If you look back at where we've come from in resetting the business, restructuring the business, there's been a lot of work done, but from our point of view, there is still a lot to do as we look forward, and we believe a lot more improvement potential, and we'll unpack that conversation as we go. And part of the story around the buyback was obviously about what we think or where we think we are and where we believe we're going. And certainly, I think that's a very important part of the story and for me, probably the most important part of the conversations during the course of today. So on the results, our financials reflect both good prices, particularly in iron ore and solid cost control across the broader business. And while volumes were down 2%, that maybe was the disappointment. The cost control work was exceptionally good. I'm very pleased with the work that's been done. Obviously, still a lot more to be done, but in the case of inflation and other process, I think that's been incredible. As a consequence, our EBITDA margin of 46% is right up there with the best we've ever achieved and certainly right up there with the best in the industry. So again, it reflects both improving cost control and also improving prices or realized prices on our products. And I think one of the unsung changes in the business and transformation of the business had been the marketing story and we're proud of what Peter and the guys have achieved. Our dividends reflect the earnings improvement. Obviously, the 40% payout ratio represents $800 million payout to shareholders. And in addition, we're announcing a $1 billion buyback. And again, we'll unpack the logic behind that and I'll leave most of that to Stephen. But from our point of view, I think it's a very clear statement about where we believe we are and the projects in control, we're investing in growth in the future. And certainly from our point of view, the prognosis going forward is we look to continue to improve this pretty solid. And so we felt that it was appropriate and it also reflects the confidence both the Board and the Executive has in the future of the Company. Free cash flow isn't as good as it might have been given the headline performance. We had about $600 million locked up in working capital. We should see that come out, but again Stephen will give you a much better picture on what that looks like. We have over the course of the six months seen some pressures in the diamond market, again, happy to unpack some of those conversations. But the real high point I think for the first half was the performance at Minas-Rio. We've adjusted up the guidance once. We've done it again today, 19 million to 21 million tonnes, really pleased with how the team has come back after the pipeline incident. Obviously, a lot of work done while the pipeline was off and that certainly gave us the running start into those, so very pleased with that work. And our return on capital employed, 22% reflects both improving margins and the continuing discipline that we have on capital allocation and again Stephen will unpack that conversation. As Stuart flagged, safety critical issue for us. And from our point of view, it remains an absolute focus and our priority item. We reported three fatalities in the first six months: one at Moranbah in Australia, one in Los Bronces in Chile, and one in Quellaveco in Peru on a concrete track – supply and concrete to the plant. Post the results we've had two bus incidents. People commuting from work to home at Collahuasi and near Los Bronces. In our case, we've extended our transportation work – or we've extended our elimination of fatalities at work into transportation, which includes commuting off-site and with the third-party providers to make sure we pick up that element. Because when we look at the risks across the business, one thing that doesn't get picked up as well as it should be is where we have off-site commutes back to – and whether it's San Diego. And so we're working with our third-party suppliers and contractors well to make sure that we've got that covered as well. So that's certainly been very disappointing from our perspective, and it will be included in the last two work is very important piece of work for us as we feel that responsibility not only on-site or within the mine gate, but getting people back home and helping people make sure that their homes are safer as well and that's the responsibility we take very seriously. On health, again, continuing to improve the operations focusing on making sure where people work are in the right – is in the right shape and certainly the progress has been significant. We'll continue to focus on that work and on the environment; the improvement in the environmental side reflects the discipline around planning, the discipline around the operations and control of each of our processes. And whilst we are not at zero, we've got to keep improving until we get to that zero number. And certainly, we're pleased with the progress that we've made so far. In terms of the environmental side and tailings, we continue to work on tailings and we're going through the process at Minas-Rio obviously but that facility is certainly something very new and a high-level of technical – a high degree of technical complexity has gone into that design and is certainly a very different design to most of the tailings dams in Brazil. And it's also designed to actually manage water as well. So it’s actually a water containing facility. So we don't expect problems in terms of the approval, and we're on track to actually get that approval by the end of the year. In terms of the overall challenge, we went public recently. Feedback's been very positive. We thank people that they have provided us some with feedback. And we're looking at anything we can do to improve. We're working with our colleagues in the industry, particularly in the ICMM and looking at standards more broadly. We're currently operating above the ICMM standards. We have done – in fact we created a new set of standards back in 2014. They were used to help define the new standards for the ICMM in 2016, and we're continuing to improve our facilities and the management of assets across the group. And I just want to assure people that it really does remain a key area of focus for us in the business and very pleased with the progress we've made. In terms of the operations, we've seen this chart a few times before. Our portfolio work has resulted in us being able to focus on the largest scale, assets and resources that we felt had a lot more potential. And our improvement focus has been around three areas: Firstly, we've reconfigured our technical process, and so 70% of the mining operations have been adjusted to mine the orebody more effectively than we were mining and that includes mining methods and process technologies. Our operating model is then helped us to improve the way we plan and execute work. And so we've certainly improved our consistency. We're not at where we want to be. But in terms of where we were, we're at least 20% better than where we were, and in fact each operating asset has improved 30% in the last five years. That's on average across the assets we have in the portfolio to date. And we are now working on the technical and innovation platform across resource right through to delivering product to market. And Tony is here, again, to dive through any questions about progress. I'll touch a few points, but if you like a little more detail Tony sure will certainly be happy to answer a few questions. We have delivered, as I said, 30% more production from each asset. And more importantly, in terms of driving margins we dropped our operating cost by around 45% in real terms, were 27% normally since 2012. And so that transformation has been absolutely key in supporting our improvement in EBITDA margins or 46% EBITDA margins. And again going with the work that the marketing teams has done has certainly underpinned our improvement in margins across the business. Now in terms of measuring that performance across the industry and in particularly talking about competitive position, we've improved – since the last time you saw this chart we've gone from the 37% on average, that's cost position across our assets to the 36th percentile On balance sheet, while we're not the lowest number, we'd like to think that our debt is in a good place and that the way we think about the balance sheet and investing in growth and investing in returns to shareholders, the approach is a balanced approach. And I'm stealing Stephen's word there. I think it's a great word and I know he will unpack that a little bit more in his presentation. And on looking forward, our suite of high quality growth options, most of those assets have EBITDA margins better than 50%. And so from our point of view, that's really important as we continue to grow the business through investment in those quality growth options. And so we think over the next three to five years, it really is an exciting time as we grow topline performance by around 20% to 25% and at the same time, we drive ourselves towards a 50% EBITDA margin and 46%. We're a little bit further ahead than we thought we'd be, but of course, iron ore has helped us get there. So pleased with where we stand and how we've positioned ourselves. When we talk about the transformation, we talk about FutureSmart mining and the changes we've made. We do like to make the point, and I think it's very important that it's all connected to being part of our sustainability work. So the work that we're doing to reduce energy consumption, water consumption, improve our physical footprint is all about improving the business and returns, which is absolutely consistent with creating a more sustainable operation. And whether you're talking enviromental health, safety, social partnerships, they're all part of – we saw in a lot conversations and obviously, having a much more competitive cost position is also about sustainability. So for us, our material – or our organic improvement is built on the three key short-term foundations. Obviously, with the quality of the assets we have provides us with the raw materials to shape the business over the longer-term and position ourselves for continuing performance improvement and growth. Our P101 program, actually, builds off the implementation of the operating model. So we've put the operating model in. We've improved our competitive position, but every one of us, when looking at each other in the eyes; we're not yet best practice. The real drive from here is to get each part of the business to operating best practice. Now that doesn't mean every one of your processes get to that position because there are a critical points in the process that we need to be at the top to ensure that we've got best performance across the business. And so that's important for us. And the operating model and the work around the operating model has provided the platform for that next set of conversation. So every one of our operators knows what they have to achieve to get the best-in-class on a shovel, a truck, loaders and the plants right across the business. And that's really generating a buzz and a conversation about how do we get there and how do we help each other get there. And the second part, the technical change. So when we talked about mining method changes and configuration changes, in taking that to its logical next step, Tony and the team have been talking about changing the footprint, reducing energy consumption by 30%, reducing water consumption by 50%, all of those technologies and those different approaches, come off the base that we've created that is we're mining the orebodies, in our view, the best way in terms of managing short-term, medium-term and longer-term returns and looking for the right technologies to hit those critical points that improves our performance and continues to improve both the recovery of the resources, the cost position on those resources, and we've positioned assets for the long-term. Because when we look at cut-off grades and those sorts of things, we're trying to think about squaring up those three dimensions, short, medium and longer-term and getting the best out of our assets. And I think the continuity that we've been able to achieve in our operations speaks to try to get that balance right. On FutureSmart mining specifically, we look at the program right through the value chain, concentrated mine is around getting the mining methods right, mining the ore and only the ore and driving the process or driving the ore through the process at the highest grade possible so making sure that we're not wasting money on mining waste or processing waste through the system and that's a critical part of the process. And we've got our first ore sorter currently being commissioned at El Soldado and so far the results look pretty good. In the Waterless Mine, we're looking at various elements of the process, being able to coarse a grind. And I talked about last time, so I won't go back through that, that's part of the process. Modern Mine is around the systems we're building and the operating model provides a very different base for us to look at, think about plan and execute work in the operation. And so from our point of view, the operating model provides the starting point. It's really an industrial model applied to the operation. And we take every person through the business. And it takes us 18 months to transform an operation from a standing start to having a very different mentality about the operation. And what I'll say it is hard work, it takes time, someplace it takes a bit longer and some places where you're working on a number of fronts, you might have some places come back a bit. And it's important and it helps us identify where that's occurring quickly, so we can go back and then address it. I think there was a good at Kumba where we said we had a bit of problem with operating equipment, but Themba and the team identified the issue early. And the fact that you've got those processes in place helps you identify those sorts of issues, then the reaction time is much shorter, and you're able to pull the operation up back much quicker. I think Themba did a good job explaining that in the result – his results presentation a few days back. And finally, on the Intelligent Mine, thinking about what we do in a very different way. Our industry, in my experience, has not been good with data, and data literacy has been fairly poor, even though we're in an industry that's a Big Data for a long period of time. And the work on understanding that data and understanding how to apply that data and working the critical pinch points and control points and opportunity points across the business are very different. It also has gone to another level with the development of different algorithms and diagnostics across the industry. It tells us that we think the changes or the possible are much more significant that most people understand. And so we've really pushed hard into this part of the business and again, it connects to everything else that we've been doing from basically getting a better understanding of geology, the mining opportunities, the mining methods and the application of new technologies to these operations, which we think is absolutely critical, and we've been investing in this for five years. So it's not we woke up last week, and said this might be a good idea. When we started to transform the business, we were investing in this thinking, five and six years ago, and we're starting to see the benefits in terms of what we believe we can achieve going forward. I thought this is a very simple graphic. The small truck, 1,900 today, where we're actually mining or spending 16x the amount of energy, double the amount of water, about 8x the amount of ground to actually produce a pound of copper. And the trucks keep getting – then clearly the benefits of scale have been through cost performance, but we think we're getting to not the limits, but the curve is starting to flatten off. And the opportunities to think very differently about mining using all of the tools I've just talked about is significant. And we've been a significant investor over the last five years in that whole thinking process. Tony has been the leader with the operating CEOs and they worked with partners in working out how those technologies can be applied in these businesses. And I think over the next three to four years the transformation in the business is going to be just as significant as the transformation we've seen in the last three or four years. And I think that's the point we were making about – we're thinking about where we're going as a company when we look at what we should do with shareholder returns and investment in the future and getting that balance right. Again, sustainability, I've talked to the three elements. I won't go back through that, but I think it's important to make the point that we connect them, and they are interconnected for us. It's all about the same conversation, and we look at both sides of that equation in everything we're doing. And again, we've been doing that for a number of years. And I think, the benefits are coming through both in the terms of the results, the relationships we have with our core stakeholders across the business, local communities, lot more to be done. But again, I think Quellaveco, is a good example of doing the right work in the community and what can be a fairly complex, social environment. And certainly I think the way Tom and the guys are handling the work in Quellaveco, has really gone well. And certainly, the feedback from the government has been exceptional. Finally, before I hand across to Stephen, pretty simple story. 2012, 30% EBITDA margin has been an important piece for us reflecting production and the nature of the production. We've continued to grow the business. We're now at a 46% EBITDA, so an 8% production improvement won't drive that type of improvement in EBITDA because the price comparison, the price of today are actually lower still when we did these numbers. It's been all about the transformation in the portfolio and the drive in the operating cost side. And for us, with the projects we have in place, we can see growth up to that 135 of the 100 base in 2012. And we believe, on the current prices, we can deliver a 50% margin. The 45% margin is on long-term prices. And so that's the difference that we saw. Well, that's the explanation of the range that we've shown. So I think with that, I'll hand across to Stephen, and he can really unpack the detail behind the numbers. There we have Stephen.
Stephen Pearce: Thanks Mark. As I talked through some of the numbers this morning, I really wanted to touch on three key themes and it sort of flows on some of the topics that Mark was talking about. So firstly, consistent delivery of the numbers is really derived from consistent delivery from the operations. And that's underpinned by the operating model and that relent focus on productivities Mark has spoken about. Secondly, the increasing margin driven by the relentless focus on productivity and also our prices. This half have really flowed in to our improvement in our relative cost position. And thirdly, then is the disciplined use of cash. I'll try not to overuse this word this morning, but balance is my word of the reporting season. It's about how we think about that balance between the balance sheet, the capital and the way we invest in the business and returns to shareholders. And if we get that cycle right now, it allows us to set up for that next wave of growth and cash flow and investment and returns. But obviously, the big news for this morning is the return to shareholders. So the buyback of up to US$1 billion consistent with those three themes that I have, in fact, just spoken about and how we're thinking about that use and allocation of the discretionary cash flow that we generate. And then the base dividend. 40% payout ratio, US$0.62 per share and I'll talk to both of those components in a few slides time. So the numbers themselves, EBITDA $5.5 billion, earnings per share, $1.58. As Mark mentioned, the best half we've had since 2011. Free cash flow of $1.6 billion, a slight build in working capital, as we've noted in the results. If ever there was a good build in working capital from a finance director's point of view, the majority of it is this and it's in receivables because we've had increasing prices, which obviously flows through the cash flow and the return of Minas-Rio have also led to some of that build in working capital so to say. If ever there was a good build, this would have to be it. CapEx, as usual, half one, half two split and obviously then in terms of using the Mitsubishi cash we had on hand. Coming into the second half, we'll find their portion. Importantly, guidance for the year on CapEx is maintained. And finally, effective tax rate. I know it causes you a few issues in terms of getting to your EPS and dividend number, apologies, but it really is the mix of results across the businesses that drives that to some extent. And in particular these six months is the return of Minas-Rio strongly in a higher iron ore price environment has meant we've been able to utilize some of those past tax losses that we've accumulated from those operation. So that's really driven us down to that 30% and our guidance going forward is 29% to 31%. Okay. Mark often talks about the number of assets that we have in the business. I suppose another way to think about that it is, yes, we have 34 assets, but we're currently organized around four simple business units. Big increase in Bulks obviously driven by return of Minas-Rio on prices, PGMs nice to see Chris prices coming back to give us a little bit of a hand. Copper, continued great work in terms of both volumes and cost. And diamonds, even though we have seen softness in the market, particularly from quarter two onwards still contributes over $0.5 billion to the group result. In each case and to pick up a big theme of Mark's, driving very healthy margins in each of those four business units. So as we worked through the underlying numbers period on period so as we say $5.5 billion, up 19% from the prior year. Price, largely driven by iron ore price, 62% averaged around $91 a tonne, that translates to us from a realized CFR price of about $118 a tonne, really driven by quality grade and lump product offsetting that some price weakness in thermal coal. This period we've had a little bit of a turnaround in terms of a positive impact across FX and CPI. So currencies generally moved in our favor, offsetting about a 200 negative movement in CPI and inflation costs. As you look across the combination of currency, the impact of inflation, the Minas-Rio recovery and the cost and volume changes we've had for the period, it's a net positive when you add all of those things up and that translates to that relative improvement in our cost position across the portfolio. As we come into half two, some real momentum with Kumba, met coal, Minas-Rio and copper, all from a production point of view and looking to recover some of that shortfall that you saw in our quarterly that we had – that we released the other day. As we look at cost and volume going forward, it's not always an even flow half to half, so you recall last year, we had a very strong first half and then slightly flat second half. At this time around, we're actually anticipating seeing the reverse with the momentum that we have a fairly flat first half and some good momentum into the second. If we then turn to the balance sheet, again, very consistent messages every time I get up here around the balance sheet, and that's not going to change today and it's not going to change as we go forward. So net debt, effectively flat. We had the accounting standard adjustment for operating leases, opening adjustment of 500 and then another 100 added during the six months mainly around shipping contracts, so fairly flat period-to-period. Net debt-to-EBITDA, 0.3x, again, a very healthy position to take the business forward. And net gearing, which really goes to the underlying strength of the balance sheet in terms of debt to balance sheet, a very healthy 10%. So return to shareholders. We are committed to the payout ratio. We're committed to the 40% payout ratio and that has resulted in the quite substantial increase in dividends per share for the half, again, a direct reflection of the improvement into the underlying earnings at 27 percentile. That compares to $1 for the full-year from last year, so a very good start assuming we continue with the performance, and that's roughly around a 5% yield. In terms of the buyback, it really is consistent with our capital allocation policy and I'll touch on the wheel that we normally talk to in a moment. And as we work through that allocation of discretionary cash flow, it reflects a confidence in our balance sheet, confidence in our near and medium-term growth and again that balance that we have as we think about where we're taking the business today and as we go forward. We also thought about the balance of returns to shareholders. And here, we recognize different shareholders have different preferences. But to-date leading up to today and including then today's 40% buyback that would represent $3.4 billion of dividends, and now with a buyback, $1 billion of buybacks, so in total $4.4 billion since we restarted the dividend back in 2017. So it's an 80-20 split. Again, it’s about balance. Going forward, please put in your spreadsheets 40% payout policy. We will continue with that policy. I know we perhaps surprised some of you given my absolute and resolute sticking to the 40% guidance. But it's okay to reassess those things from time-to-time, and we will reassess those things from time-to-time as we go forward as well. We will always consider how we allocate the cash flow. So how have we done? Let's look at the scorecard in terms of our capital allocation and cash flow. So $1.6 billion of sustaining cash flow, 40% dividend last year. With $700 million this year, it's $800 million, and pleased where we are from a balance sheet point of view. And you can see we're starting to allocate cash to some of the discretionary items, whether that be some smaller Brownfield growth projects. Quellaveco, as I say, we will start to see our proportionate funding come through this year; and then obviously, the share buyback, which will flow between now and early next year. So back in February, we tried to give you some really good forward information around capital spend and where we saw the capital spend our journey going. As you noted then and as you can see today, we see it peaking up a little bit through 2020 and 2021, and I would anticipate as we move to 2021, we'll be towards the top end of that range. And that's a combination of the sustaining CapEx that we have clearly flagged, and the productivity gains and extra volumes that we will see, the Brownfield approvals, which I will touch on shortly, and then the investment in innovation and technology, and obviously, Quellaveco. You recall at the full-year, I presented a capital efficiency slide, and nothing really has changed in that. So we're still tracking at the moment to sort of 20% to 30% capital efficiency. And if you recall, that reflects exactly the same 20% to 30% operating efficiency that we're seeing through the operating sides of the business. You will see that fluctuate a little bit from time to time. Remember, I spoke about while it's okay for the absolute number of sustaining CapEx to go up provided on a copper-equivalent per time basis, we're spending that money more efficiently, that's exactly what we're still seeing. But as some of the businesses go through ramp-up and volume improvements, a good example is Moranbah-Grosvenor, we're seeing increased productivity rates, which means we need to step forward a little bit quicker in terms of the degassing and mine development and setting up for the next long hauls. So a good reason why that's increasing. It's driving really high-margin growth returns even though the absolute number creeps up by 0.1 or 0.2 across that time frame. Looking at some of the options that we have across the portfolio. And it's lovely to see that we've got a nice list in front of us and we own these options. Again, we flagged this last year and we're going to got to keep you informed in terms of how this unfolds going forward. So we can tick another one off. In May, we approved the marine vessel in Namibia for the Debmarine operations. And we've been being talking about the Moranbah-Grosvenor expansion, that's likely to come through, through the first half of next year, I would anticipate at this stage. With some of the improvements in the bottlenecking work that we have seen already, we are already seeing, let's call it, some of the volume benefits we thought we would have seen in the next CapEx program already coming forward to today. So we'll just feed that into the studies and see how that flows out. And probably, some of the next things you'd see would be some of the technology and innovation perhaps showing itself a little more obviously to you as we invest through that 2019 and 2020 period. And then you'll see some of those benefits flow out through the 2021 and 2022 period as it works its way through the production systems and into underlying EBITDA. What we will guarantee is that we'll keep you posted on those things. These things will be very visible to you as we go through. They will only be approved over time and take full account with markets, balance sheet, cash flows and circumstances of the day. And we'll keep you posted through that time frame. So just coming back to our cost and volume improvement targets. So we are targeting $400 million for this year, originally $500 million, so we have just softened that a little bit with the softness in the market that we're seeing in diamonds in particular. Yes, we're not prepared to give up on that $400 million. It will be perhaps challenging, but we have a number of initiatives building up to that and through that we will be working very hard to deliver through the year. On the basis that we've achieve that, that will take our cost and volume benefit from this $3 billion to $4 billion to $800 million. And if you recall in that bottom section there, the operating model and sort of productivity improvements we'd flagged a $1 billion to $1.5 billion in that bucket. So over time and we said that, that would probably be more front-end loaded than the other categories, that's what we're seeing. And we're starting to move towards that target over the next year or two. As I said earlier, the technology and innovation, it will seem a little more back-ended. And so we would expect to see some of those benefits flow through in that 2021 and 2022 period. And then obviously, there's the growth projects as well, very much a mix of the Brownfield’s in the nearer term and then the delivery of Quellaveco towards the end of 2021, 2022. So those things should flow again nicely and quite visibly through the results over time. So very much reconfirming our target of $3 billion to $4 billion between now and the end of 2022, and you should expect to see progressive delivery against that through that time frame. So just to wrap up for me. Where are we and where we do want to be? Obviously, growth, highly competitive and market-leading. In particular, what we're delivering adds to the margin story that Mark spoke about, underpinned by disciplined allocation of cash flow and from a strong balance sheet position. But what we do have, I suppose, is a real commitment in terms of getting the balance of these things right, whether that be around balance sheet, returns to shareholders or delivering and investing in the future of the company. Thank you.
Mark Cutifani: Thanks, Steve.
Stephen Pearce: Thanks, Mark.
Mark Cutifani: So thank you, Stephen. Obviously, the G-word is something we're very sensitive to. And when we talk about growth, we are very specific and we try and make sure that in the business, people understand the conversation the right way given the history of the industry. The focus on quality is absolutely critical. And from our point of view, we do look at our markets. We look at the response. We test our projects against the impact we would have on those markets. That's very important to us. And we look at the absolute margin we expect to achieve after adjusting for those changes. And so it's all about quality. And as I said, almost all of those projects, we've got a better than 50% margin at long-term prices. Driving margins is about making sure the quality is here, and if you've got a quality project, you'll get the margins, and also how we place product into the markets. And our focus on quality, which I'll pick up towards the end of the presentation, is something that we think is absolutely critical as the world evolves across mining, and then making sure that the capital discipline is right and that we've worked the projects to their potential is also important in making sure we do better than that 20% threshold return on capital employed that we've set ourselves through the cycle. And so all those pieces come together to put us into what I think is a very balanced position about what then it should look like across the business. In terms of what we've seen in the last six months and to talk to the things that will continue to improve the quality of our performance and margins. Minas-Rio has had a very strong ramp-up in the first six months, as we said. We have adjusted the guidance a couple of times now, and we're very pleased with where we are in terms of the tailings program. Yes, tailings is a sensitive word in Brazil at the moment, but again, I think the technological differences we have in the dam set us apart. And by the way, the next lift is no different to the approval process that everyone else in the industry has to go through to get their next [indiscernible] tailings lift. That's part of the process in Brazil. So we're not in a unique cycle today. We're now in a normal operating process. So I think that point has to be made pretty strongly, and it is a little bit different to where we've come from in terms of our processes. So again, based on everything we've done so far, we think year-end is certainly the right expectation given the conversation. And we certainly got a lot of support from the government and the authorities in those prices. And by the way, one thing we should remind people is we got our Step 3 license six months earlier than we forecast. That was a license we got in December which allowed us to open the footprint, and that's also been part of why we've done much better in the first six months because we've been able to blend product and get better throughputs for the plant. So that approval is very important, and I think that's also a measure of the nature of the relationship we've built with the authorities in Brazil. So I certainly don't see the risk around that as some have been talking to it more broadly. Certainly very comfortable and very happy with where the guys are. In terms of projects. Quellaveco, on track. Very pleased with the progress that's been made. And certainly, from our point of view, Themba and the team have done a great job. Most complex part of the business is obviously around the social dimensions, and I think, again, the guys have done good work there. We've mobilized all the major work areas. We're pouring concrete. And certainly, the progress has been very good. We've ordered the new ship. It's on its way. Bruce and the guys are very excited. For us, this is a really special bit of gear. Obviously technically, it's very different, but also it mines our highest-value diamonds on a per carat basis. And they're not large, but they're very high-quality, smaller diamonds, but a real good part of the business. Again, pretty rapid payback, so a good project. And Aquila, following Grasstree. Good piece of work. And the guys in Queensland have done a great job in the business. Again, I think Moranbah has won five years Best Coal Mine in Australia and also Best Mine in Australia a couple of times as well. And all of the learnings from Moranbah, Grasstree, Grosvenor will go into or gone into the design of Aquilla. So from our point of view, a good shape on the project site, and again, supporting the quality growth story that Stephen talked to. On positioning for the future, we would argue that our portfolio is quite unique in the industry. And we would hope that shareholders and prospective shareholders, in particular, can see that the exposure you get to Anglo American is very different to other peers in the industry. And we hope that the one thing that really is coming through is that diversity, as a consequence of the quality of the assets, is certainly a differentiating factor, one that we want to push for in time. In diamonds, we've got the ultimate luxury consumer product. With the growing middle class and shrinking industry resource and production base, our global leadership position through De Beers is exceptional. And as we say, De Beers isn't really a diamond company. It's a brand that is an industry icon that really means the very best in diamonds. And when you look at our revenue per carat, and I'll show a little bit later, it's the best in the industry. We're proud of that position. And certainly, the industry is going through a bit of tough time. There's been a confluence of certain issues. From our point of view, we think that's not a structural change. And with the work on Lightbox, I think we're very pleased with the market's reaction to the product, 3 million to 5 million carats, very small compared to the global diamond production of 143 million carats, so not really a factor. And the fact that the pricing is more akin to other lower-value products has really pleased us in terms of the response of the market. As the world becomes greener, accommodating 9 billion people will need energy and other industrial solutions that will drive significant growth in copper, nickel, manganese and PGMs unlike we've ever seen. And as the circular economy starts to impact sourcing of bulk commodities in various forms, our focus on quality coal and quality iron ore is, again, a differentiator in a market that will go through significant change over the next five to 10 years. And we've been thinking about how we position our business in where we are today, where we will be in five years and where we will be in 10 years, and we think those changes will play into our hands in terms of the focus on quality, both through Kumba, 64.5% lump premium; Minas-Rio, 67%, again, unique assets in the world or the bulk worlds. And certainly, we think we're well positioned there. And for us, if you look at our performance, and I think we've got this in the appendix, Paul, we've improved our relative margin cost position for mid-Q3 to mid-Q2 off the back of improving costs at Kumba, the good production performance at Minas-Rio and the improvement in price premiums that we've received for our products. And Peter and guys are doing good work along with the operators in making sure that we're delivering the right product consistently into the market, and we're going to keep trying to drive that position to the left across the portfolio. There's always a debate about macro trends. And we're having the debates, as you'd expect, and trying to think about how we position out business in those trends. Again, we think the focus on quality, and in particular margins, are going to the absolutely critical. It's the best way to insulate yourself from things that you might not understand or might not anticipate. The way we look at things, again, changes in the population, that 9 billion population will look very different as well in terms of urbanization. The last few years, we've seen 1.4 billion people move to cities and there will be another 1.4 billion moved to cities over the next 18 years. So from that point of view, we look at demographics, aging population, the urbanization, the rise of the middle class, climate change, carbon reduction, the rise of renewables, transportation fuels and the circular economy and that includes recycling, and that will increase particularly across bulks through the recycling of steel, high-quality primary feeds, new business models. 50% of our portfolio by production consists of greener and consumer-facing commodities, and I think that's a unique mix in our industry. And it's one that we think, from a strategic point of view, will play out in more conversations around our sector. And the environmental benefits that we had in the portfolio and the research work that we're doing through the R&D programs we have across precious metals are going to be very important. And certainly now, with people talking about platinum, palladium being used in lithium batteries, they are important developments and developments we're at the forefront of with other players, investing and making sure that we create opportunities for our product. And certainly, Chris is well up to speed in driving many of those changes through his leadership in the Platinum Guild and other of the consumer-facing entities that we work with in the PGM space. So for us, we think strategically about the commodity mix and we think tactically in terms of making sure we got the best operations, and we are building a business that is resilient for the long-term. It's a unique product mix. It's a high-quality product mix. And it's one we're going to keep improving and growing as we go forward. In terms of the focus on quality, and I might just explain that the chart actually shows, on the x-axis, the volume that we produce relative to our competitors in those markets. So you'll see in terms of diamonds, we are right up there and no prices for guessing who's up there. That's ALROSA producing few more carats. But certainly, the value per carat that we produce really does set us apart. And we believe, longer term, the real price activity and potential for value sits more in the high-value areas. Of course, diamonds, we think, as [indiscernible] and other operations close, the prognosis for the whole diamond market is very positive medium to longer term. But again, we think we're placed very powerfully in the market with that quality mix. In iron ore, again, a strong quality player. We're not the biggest, but we'd like to think that we're heading towards being the best depending on how you measure that. We've still got a long way to go, but certainly, the improving cost position has helped improved our margins. In PGMs, again, just of being the largest producer, but again, our focus on quality is about discipline, making sure we're driving returns. And certainly, if you want to differentiate us, it's around that focus on margin and returns. And again in the met coal, very competitive on the cost, pretty good-sized producer, but very much focused on making sure we're at the top end and demanding a product premium for our quality, consistent with the value that we're delivering to our customers. And again, it's about this quality focus across the assets and across our products. It's very important and we think is a significant differentiator for us in the future. And so to summarize our investment proposition. We've got world-class assets with attractive and carefully phased growth options. We are building leading capabilities in operations, new technologies and the marketing of our products for value. And our returns are underpinned by ensuring that our focus on capital discipline is maintained, irrespective of where product prices are on the day. And we've got to make sure that we – and we're focused with the Board that we're delivering consistent returns on capital and of capital to our shareholders. And with that, happy to take questions.
Q - Dominic O'Kane: Good morning. Dominic O'Kane, JPMorgan. Two quick questions. I just want to try and understand the capital allocation wee a little bit better. So 40% ordinary payout recommitted to and the $1 billion buyback. But if we look at the net cash in South Africa, if you're about $5.2 billion of net cash building about $1 billion a year, if I look at the growth CapEx over the next three years, about $3 billion of growth CapEx is up in the range. None of that is in South Africa. So how do we reconcile the South Africa net cash position and the builds going forward to excess capital returns? Should we regard the South Africa net cash essentially as a piggy bank?
Mark Cutifani: So those are careful questions there. But Stephen has been dying for some of you to ask him that question. So Stephen, all yours.
Stephen Pearce: So remember, we report cash in two ways. So one is technically where it's owned from, but practically where we manage it and use it. And so the majority of that cash is, in fact, held in London in U.S. dollars and used as part of general group liquidity. And so from a day-to-day point of view, it really has little impact on how we manage the business. Obviously, yes, we accumulated the $5.1 billion, but there's probably not many of you in the room predicting iron ore to remain at $120. And obviously, the thermal coal prices have eased through the time frame as well. So yes, we've had very great cash flow. Lovely problem to have. To pay that $800 million for the base dividend, we'll use a little bit in excess of $1 billion given the minorities in Kumba and Platts. And obviously, we'll use the $1 billion in terms of the buyback. So you'll see a significant stepdown. Lovely problem to have before you're in it again. Then we consider things. We do have reasonable capital. We've got Venetia underground running at the moment in South Africa. Chris and the team are working through options with Mogalakwena, and while they're a little while away, that does factor into our thinking as we look forward as well.
Dominic O'Kane: Okay. And then second question on Minas-Rio conversion of the operating license. You previously mentioned November, December, was a time period where you would expect to have the license. Otherwise, you'd have to start thinking about production volumes. Is there any slippage in that? Do you think you've got greater flexibility into 2020 on when you might need to have the operating license in place before you start to think about production volumes?
Mark Cutifani: Yes, we do. Firstly, we haven't changed on the likely timing, end of October, November. But give it a little more time given the sensitivities around the issue. The legislation is now hardwired into September. So the legislation will be in place, and then there's about six weeks of consultation to finalize. So we expect to see probably around November the approval. We've got at least until the end of Q1, where we've got lots of scope in terms of volume. We start to change the quality mix a little bit in the second quarter, but certainly, we've got at least until middle of next year to be able to operate before we have to really think about pulling things up. So we think we've got enough scope there to deal with anything that might come along.
Myles Allsop: It's Myles Allsop, UBS. A couple of questions. First of all – or going back to the capital allocation and the buyback. How sustainable do you think the buyback is given CapEx is going up and given your outlook for bulk commodity prices? And is sort of into that, is there a net debt target now we should be thinking about the non-South African net debt that provides a threshold when you see excess cash? And then secondly, on thermal coal. I mean it was cash negative in the half. Does that change your view in terms of our how cool that asset is in South Africa?
Mark Cutifani: Stephen, you want to pick up that one?
Stephen Pearce: Yes. So in terms of capital allocation, is it sustainable? Well, no. It's a one-off. We have accumulated excess cash and we're now allocating that excess cash to shareholders. So I really do mean it when I say you should assume and put in your spreadsheets a 40% payout ratio until such time as we would accumulate more cash, and then we'd consider how we dealt with that as well. So very much an earn it before we think about its policy. In terms of net debt targets, now I wouldn't try to pinpoint today's debt as a number, tomorrow's debt as a number. It's really a holistic consideration of where we think the business is at today, how it's performed, what we have accumulated and how we see then the future both in the medium and longer term panning out. And really, it's that combination of factors that gave us the absolute confidence to make that announcement today. Mark, on thermal coal?
Mark Cutifani: Yes. On thermal coal, in the last three years, we've reduced our footprint by – I think it's a bit more than 50%. Two, we have made it very clear that the thermal coal assets have got the shortest life in our portfolio and that we're unlikely to be investing in new thermal coal projects. So I think we've made it pretty clear that thermal coal, while still important, is reducing in significance across the portfolio. And I think EBITDA is less than 5%, partly a pricing issue, yes. But from our point of view, we are talking to adjust transition, so making sure that we're working with stakeholders. So the average life of their assets is 13 years, and that's South Africa. Our history has been as we get towards or get closer to a life, we have in the past dealt differently with those assets. But I think making sure that we're working with the government, working with customers, working with communities, working with employees on what that should look like. But certainly, we're in a process looking to continue to improve the business, but longer term, it will be less prominent in our portfolio. We haven't made a final call on where we will go, but certainly pretty clear where we're working ourselves towards given the shorter life of those assets. So we're extending the life, as you would expect. But at the same time, longer term, it's likely others will loan the assets. But we certainly haven't put anything or hardwired anything at this stage.
Liam Fitzpatrick: Good morning. Liam Fitzpatrick from Deutsche Bank. Two questions. Firstly, on the De Beers. It could be a weak year compared to 2015, which is a big destock year. So how close are we to a turning point? And do you think a more aggressive pullback in your supply volumes may be required to rebalance that market? And then secondly, on the growth capital, the $1.5 billion to $2 billion for 2020, 2021, how much of that is approved versus non-approved? Thank you.
Mark Cutifani: Okay. On the De Beers story, there is still a little way to go, we think, in the marketplace, if you listen to the chatter. And certainly from our point of view, we're managing the situation very carefully from a volume’s perspective. We do think the second half will remain tough. How far we have to go is something that we'll gauge and measure very carefully over the next three to four months. Bruce, is there anything you wanted to say about the market above and beyond that?
Bruce Cleaver: Thanks, Mark. Broadly, I think when you compare this to 2015, I think people seem to forget sometimes that when there's a combination of things in the downstream – and the downstream demand, we shouldn't forget is still relatively robust. So if you look in the consumer markets, although there are different things going on in different markets, there is reasonable demand. It's not fantastic, but it's by no means awful. And as long as there is downstream demand, the issues that are going on in the midstream, all things being equal and us being very careful with volume and price, you would expect them to play themselves out over a period of time. It really depends on consumer demand in the downstream markets, particularly in Q4. And so we'll watch those carefully. But as we sit here, demand isn't in a bad space. We'll be spending money differently and a bit smarter in marketing in the second half of the year to try and help down downstream demand, but I don't think there's any need for us at this point to change the strategy we have.
Mark Cutifani: Yes. I think the key point is that we take a leadership position. We are sensible and sensitive to demand and we'll continue to operate and deliver to demand. And what we've seen, both in 2015 as well, a relatively reasonably quick response in the marketplace. Now whether it's the end of the year, at the end of the next quarter, not quite sure, but the one thing you'll know is Bruce and the team are taking a leadership position and trying to make sure that we navigate through as carefully as we can. And we're going to keep navigating with care and attention to what's happening and what's happening in the midstream as well.
Stephen Pearce: Mark, I'll just come back to the capital part of the question in 2021. Now I don't know the percentage off top of my head, but some of the main projects that would be running and that we'd be spending money on through that time, obviously, Quellaveco. It's one of the bigger years in terms of CapEx through that timeframe. Venetia underground would be coming to the end its capital spend around there. The ship that were just approved it will be some component. I'd imagine Moranbah-Grosvenor expansion would be approved. And some of the investment technology would make up the majority of that spend that we've identified in that year.
Mark Cutifani: The investment in technology stuff is quite incremental, by the way. So when Tony articulates the point or when you make the point, Tony, it's between one and two new mines effectively, but they're incremental elements. So the spending can be phased quite carefully, and where there's a bit of a kicker, we usually get a fairly quick response. So it's a good way to think about. We can deal with that a little bit later as well if you need a little bit more shape on that.
Sylvain Brunet: Sylvain Brunet with Exane BNP Paribas. My first question on coal. In the greener world, you were described markedly the transition. Is there a case where you could even consider accelerating the transition and separating coal from your portfolio?
Mark Cutifani: Look, I think we need to remain open to society's sensitivity and the broader – and in particular to shareholders' sensitivity. So clearly, we're listening carefully. We're an active participant in the debate, but we're also very sensitive to our responsibility to stakeholders, governments and local communities and employees. So clearly, the debate is becoming – or the temperature in the debate, if you pardon the pun, is becoming – is rising. And so we've got to be sensitive to those issues. As I said it, it is a smaller part of the portfolio and in time becoming less significant in any case, but we're still very sensitive to stakeholder relationships. And we'll manage ourselves to a final position very carefully. And in the next 12 months, we'll put more shape around that I suspect, as part of our commentary and dialogue, particularly in the sustainability conversation that we'll do early next year.
Sylvain Brunet: Okay. And just second question on Eskom and electricity cost in South Africa. Anything you could share on the debate? We saw the headlines on the beloved package. But any progress that you can share on the electricity cost debate?
Mark Cutifani: Look, there's a lot of work to be done. Maybe I might ask Chris. He's probably as close as anyone to where those issues are. And how the team managed load shedding earlier this year was first-class, did a really good job. Chris, do you want to give us a sense on that?
Christopher Griffith: Thanks, Mark. I'm not sure I can add anything new, though. So you all know that we had load shedding in the first quarter of the year. I think we managed mostly to get through that without losing mine production. Most of the refined production has been pushed into the second half of this year, so I think we should still get most of that production this year. I think the big issue for us is – has been the increase. We've seen a 14% increase in electricity prices. That's 3x inflation. Next year, it's likely to go down to 10%, but I think we can pencil in higher Eskom prices for the next number of years. And that's also some of the reasons why Tony and myself and the group are working at seeing what else we can do our around solar generation of power ourselves. But for now, I think we've gone through the winter months without load shedding. And I think that was to be expected because we don't do any maintenance – or Eskom doesn't do any maintenance in the winter periods. So expect as it comes to summer that it might actually get a bit tighter than it feels now, and that's not most what folk are thinking about. So I think, Mark, nothing really new. Prices are high or the charges are high. We're all managing as best we can. We're all engaging – and one of the things also, I think that we participate as Anglo American is in the technical assistance to Eskom. So we put in place a team to go help – a technical team to help Eskom just to go through all of their assets. That was only ever meant to be feedback to Eskom. So we don't really have the kind of feedback that we would like, but that feedback has gone into Eskom, and I think Anglo American has played a big role in that regard.
Mark Cutifani: One of the key points that people sometimes don't appreciate with respect to our PGM business in South Africa is because of Mogalakwena's contribution and the degree of mechanization and where we're pushing into mechanization. Our exposure to Eskom is lower than our competitors because the – where we draw our production from. And Chris has got more flexibility because he's also got downstream processes, both a number of smelters and refineries. So he's able to work across the process and his assets are less exposed. So if you've got an underground operation, ventilation would be 40%, and energy would be 40% – ventilation is 40% of the energy consumption, and its 24 hours a day. So I think we are structurally advantaged because of where and how we set the operations up. Some of that's by luck. Some of that's by design. And as well as that, Chris, Tony and the team are working on solar options and a whole range of renewable-type strategies that will reduce our dependence on time, on Eskom as well. Yes. I'm working my way across.
Sergey Donskoy: Thank you. Sergey Donskoy, SocGen. Three questions, if I may. Firstly, just on results. Your cash cost, actually your first half was $21. If I understand correctly, the guidance for the full-year is $24 to $27. Are we expecting a terrible second half? Second question, working capital was up in the first half by $600 million to $700 million. Should we expect a release in the second half? Or we just kind of – at a new normal level? And thirdly, copper. You flagged some issues with water availability at Los Bronces that may impact your operations in 2020. And two questions here. First of all, could you right now somehow quantify what sort of a potential shortfall we're talking about is like 5% or like 20%? And strategically, to what extent water is threatening your plan or ambition to achieve 1 million tonne growth in South America in copper? If water is a constraint, is this possible at all?
Mark Cutifani: Yes. So Steve, do you want to pick up working capital at Minas?
Stephen Pearce: Yes. So our Minas-Rio cost, so we've had a fantastic first half. It was off the back of a lot of great work the team did while the plant was shut in terms of maintenance and getting everything ready to run as smoothly as you've seen it ramp up. We will have some maintenance. And sometimes in the second half, you also have some weather disruptions towards the tail end. So if you double our first half, you'd get a bit more what we're forecasting. So slightly softer volumes in the second half and one – then the first, and that will translate a little bit into unit cost, so nothing too much to worry about. Still a great performance expected. Working capital here, it went up by $600 million, two components. The first was $400 million in receivables that I spoke about as good as it gets in terms of an increase because of price and because of Minas-Rio coming back on. The other $200 million was inventory and a little bit copper, PGMs, et cetera. So we will expect some of that to run out in the second half as Chris ramps his refinery up and gets those volumes out to market and – but possibly offset if softness in the diamond market continues all the way through to year-end with a little bit of build of working capital into these.
Mark Cutifani: On the copper, we're confident that our guidance for copper is solid for the year. We have seen an impact on copper probably the last couple of months of maybe 3% to 5%. We're in the driest year for 60 years in Chile, so yes, it's had an impact. We think – if we look next year, the guys are already looking at water harvesting and a whole range of additional measures they can have in place to cover off what will impact next year. If you said to me, is there a potential impact? Yes, it might be 5%, but I think we have to see how the balance of the next three or four months play out before we start talking about next year. But there's a lot of work going on in making sure we've got water in the right places to minimize any potential impacts. But it's not more than that from what we consider today, but let's wait and see the next three or four months. Second point, on the 1 million tonne, the work on the technology side, absolutely critical to making sure that we've got the water. So a 50% reduction through the implementation of coarse particle flotation, the ore sorting, coarse particle flotation and those technology changes is the key to the 1 million tonne. And we're well on track with that research work. El Soldado will be the first site that we actually do. Tony, I think we start construction towards the end of the year, but it won't be until next year before we see it commission.
Anthony O'Neill: That's right.
Mark Cutifani: So it's going to come in early.
Paul Gait: Thanks. Paul Gait of Bernstein. Just a couple questions, very quick, so De Beers, you've got this sort of strategy to sort of supplying volume to demand. I'm just wondering what you're seeing amongst your competitors there. Is there a similar sort of response to the weakness in the market? Or are you sort of going it alone or are you doing all the heavy lifting for the market? The second question was on the sort of PGM price. So I know iron ore is at extraordinary levels, but then, at the same time, if you look sort of platinum-to-palladium ratio, that's a kind of mirror image story to the other side. I mean should we be expecting that likewise to renormalize at some point? Or has that been a sort of real – or is this sort of shift that we've seen in the market now again, should we regard that as the new normal? And then the sort of last question is, it's just – I'm just struggling on sort of Slide 26 with the net debt-to-EBITDA ratio of 1.5 at the bottom-of-the-cycle. I mean given we've got $3.4 billion of net debt, should I imply that you think bottom-of-the-cycle EBITDA is about $2.3 billion? Or how should I – else wise should I think about that slide?
Mark Cutifani: Why don't you go first? Steve, you've got that answer ready.
Stephen Pearce: As we look forward into today's business at low prices, that's how we then think about that bottom-of-the-cycle EBITDA ratio. So of today's numbers, let's say, we had 2015's prices for the whole year flat, I don't know, I'll make the number up, maybe its $7 billion EBITDA. And then we would look to not have more than $11 billion or something in that range, right. So it's really a look-forward basis in a downside scenario rather than working backwards from today's numbers. That make sense?
Mark Cutifani: And as fair volumes and margins improve, that number continues to...
Stephen Pearce: It gives us capacity, should we wish to utilize it, yes.
Mark Cutifani: Okay. On the diamond question, making sure that I get Bruce and I out of jail. I'm always careful about talking about competitors in the diamond space. Look, from our point of view, on a value basis, we are the largest player in the diamond market. And we make judgments against what we see in the market and we take cognizance of that. Our partner and our shareholder, the Botswana Government is also very sensitive to the long-term view of diamond. So we take care of positions for the long-term. Others sometimes follow, sometimes don't. We don't talk to them. Whether they're pulling their own weight, let others make that judgment. From our point of view, it's important. We're the leader. We take the positions. And what we've done in the last few years seems to have worked reasonably well, although the behavior elsewhere has been mixed. And we don't assume that it will be any different looking forward. The other one, on palladium and platinum, I'm going to be very careful here because the last time I opened my mouth on palladium, because of the bubbled. Look, if I can say that the palladium price reflects demand and supply and that – look, the market has appeared to have been short of palladium and we're seeing in that price. Will the switching will occur over time? Probably. But then we would see an improvement in the platinum price. The way we think about PGM prices is we look at rhodium being, I guess, the most reactive and the most valued in terms of end-use applications, then platinum and then palladium. And palladium has a very specific application nearer the engine block in terms of speed and performance, and so it's got specific value in its own right. So it's going to move between the three. And the thing I've learned in the business from Chris and the guys is that, they don't tend to move all down in one sway. When the market's tough, you might get that. Well, there will probably be adjustments, but we do well – if you take an average price across the commodity – or across the three, we do well $900 and above to extremely well. And at the moment, we're at about $1,200 on the balance, but it's even probably a bit higher. And it's not going to swing away too far from that anytime soon. Chris?
Christopher Griffith: No, it's good.
Mark Cutifani: Yes. Is that – yes, okay.
Ian Rossouw: Ian Rossouw from Barclays. I'm just...
Mark Cutifani: Reference to rugby.
Ian Rossouw: Three questions – or cricket. Just, Stephen, on your comment about – it’s okay for sustaining CapEx to go up, I mean, obviously if you see that per copper equivalent growth follow. But on Tuesday, Themba was highlighting some CapEx numbers for extra stripping and a few extra additional items, and he wasn't prepared to give us any numbers yet. But is there a risk that, that increases your sustaining CapEx above to the ranges that you've given us in the slides at the moment?
Stephen Pearce: Not materially, I'd say. And some of that may be short-term, catch up a little with Themba too just to get the mine right and the year prices and play it right. So nothing that I think you should be overly concerned about at the group level.
Mark Cutifani: Yes. There's some balancing to do, I think, in the pit.
Ian Rossouw: And then just coming back to the sort of ex-SA net debt number, I mean that obviously jumped up from the pro forma number you mentioned at $8 billion up to $8.5 billion. Obviously, I suspect the IFRS 16 was probably the majority of that as well and working capital. But do you expect – I mean absent high iron ore prices; do you expect that number to come down a little in the next few years?
Stephen Pearce: Listen, I'd love to be able to predict the mix of prices that would flow out. And yes, if prices stay the same, the majority of our growth CapEx in the near-term, the next couple of years, is in the rest of the world. So yes, with healthy prices, it would probably stay about the same. And maybe it may be the best outcome.
Mark Cutifani: Yes. Definitely, our capital employed in South Africa is about 25% of the portfolio and with growth appearing. And even then, we will have growth in South Africa in certain areas. The average capital employed will probably reduce and the rest of the world will be playing a bigger part. So it does normalize over time, I think.
Stephen Pearce: Yes. And most of the growth in the EBITDA in the next couple of years is the rest of the world as well. So it's just a timing question, probably, to balance that down.
Mark Cutifani: Yes?
Alain Gabriel: Alain Gabriel at Morgan Stanley. One quick question on your cost and volume improvement target of $400 million, so clearly, if you tie it back to Slide 20 on your slides or Slide 18 on our pack, you've realized – you've achieved around a $300 million negative in H1. Does that leave us with $700 million for H2? And how would you split it up in different buckets, if you give us more granularities? Thank you.
Stephen Pearce: Yes. So you're exactly right on the maths. Hence, while we're not prepared to give up on the target, it will be tough to bring it home in the second half. But yes, we do have pretty good momentum, particularly in some of the bulks. So combination of Moranbah-Grosvenor, and Themba is going to bring the second half home very strongly in Kumba, and continue our good performance in Minas-Rio, I would expect it's probably the larger individual portion, and copper has also run very well from the cost and volume point of view, too. So probably, they are the main elements that would drive us towards that $700 million.
Mark Cutifani: May, June was strong months. June, we broke an all-time production record at Moranbah. So the recovery from coal seems to be gathering momentum. We're starting to get more volumes back through Themba in Kumba. That started back on the recovery. June was actually a pretty solid month. So I think we're starting to build momentum in the last couple of months, and so those numbers, we're happy with. There are some pushers in there, but certainly, the momentum seems to be picking up pretty well. And Amandelbult, that's another. Last two months is actually really hitting pretty good numbers as well.
Stephen Pearce: And sometimes currency plays a bit of a role as well, Mark. Obviously, in the last few years, we probably had really good strong cost and volume improvements offset by negative inflation in currencies. It's a little bit softer in the cost and volume, a little bit better in the currency, I think.
Mark Cutifani: Yes. I think the only area that we're just watching very carefully is obviously with Bruce and De Beers. A little more market work there, but the other parts of the business are coming back pretty strongly.
Cedar Ekblom: Cedar Ekblom from Bank of America Merrill Lynch. Just a question on your technology push. Adoption of technology in the industry is becoming an industry-wide issue. Can you talk about the breadth of your projects and where you think you are on the journey relative to your peers as it relates to retention of those savings? Do you think you're just going to be giving them away as everyone catches up? Or do you think you have actually got quite a big head start?
Mark Cutifani: Look, I'm going to ask Tony to get out. We rarely met every couple of months to talk about what we're doing and where we are. We're trying to get a three to five-year break on our competitors. And in my experience in this industry, that's a pretty good break because with Internet and all the other technologies, things can transfer fairly quickly. So you got to remain that far ahead year-on-year. The good news is we've been investing for five years, and I think we're in a pretty solid position. And certainly, the feedback from people has been very good. But with that, let me hand across to Tony and can make your own judgment?
Anthony O'Neill: Our program is certainly a lot broader from the rest of the industry. And we've seen our sweet spot as essentially being around the ore body and what opportunities we can play with that and in the processing plant. If I look across the broad industry, it's focused mainly on automation, whereas we've been taking more of a technology approach. That's not saying that we're not working on automation and particularly around data or analytics and advanced process control. So we're not particularly behind in those areas. And the automation gap, we're closing with P101. So my sense is actually, we're in front of the rest of the industry. But it's important that we implement really quickly, more so that we don't get eaten away by inflation.
Mark Cutifani: Yes. So we've worked on a number of fronts. I think we're making good progress. We're starting to build things in the field now. So that's the really important path. And the whole Open Forum approach, the Open Forum, the file fast, being quick on the ground is something we introduced about four years ago, and I think that's given us a break. There's been a lot of debate in the industry around IP. Part of the difference Open Forum approach is that we're more comfortable letting IP go and going for speed. Because in our view, the way the world works today, that information gets spread very quickly and people find workarounds. You're better of focusing on speed and agility and getting there as quick as you can. And that's why I think the work we've done so far puts us in a pretty good position. Okay. I think that's it.
Anthony O'Neill: So we're done in the room. But I think we've got one the telephone. I think we're on some sort of [call]. Can we just see if we can open the lines?
Stephen Pearce: Can we go the call? There's a question on the phones, probably.
Anthony O'Neill: Yes. Can we open the lines up for questions, please, on the telephones? Thank you.
Operator: Thank you. [Operator Instructions]
Stephen Pearce: Operator, do we have any questions?
Operator: Yes, we do have. Your first question comes from the line of Grant Sporre. Please ask your question.
Grant Sporre: Good morning, gentlemen. Apologies, my questions have actually been answered throughout the call, so thank you very much.
Stephen Pearce: Operator, any other question on the phone or is that the only one we had?
Operator: We do have two more questions. Next one, from Tyler Broda. Please ask your question.
Tyler Broda: Hi, guys. Thanks very much for opening the lineup. Most of my questions are answered as well. I guess just the one question, I'm not sure if touched on it or I missed it. But in terms of the buyback, what is the timing you expect this buyback to go on for? And can you describe sort of what is the constraints around the up to $1 billion? Thank you.
Stephen Pearce: So the timing that we've indicated in the buyback announcement is from now up until the end of March. We would expect to execute that program up to $1 billion. Ultimately, it depends on volumes and days price moves and all those sorts of things. We plan to execute it proportionally to our share register in both South Africa and London. They're probably the main mechanical aspects over that sort of timeframe. But ultimately, it depends on markets themselves as to how quickly or how slowly that would be executed.
Tyler Broda: Okay, thank you.
Operator: Next question comes from the line of Sam Catalano. Please ask your question.
Samuel Catalano: Depending on the timing, just wondering with regards to bulk sorting, you guys have indicated you have the potential uptick in grades going in concentrates or in throughputs. When and how are we likely to see the tangible results of what's happening at El Soldado? The reason I asked is that, we'll see this pretty good concept, and potentially myself, other analysts could include those benefits in our forecasts in, yes, some of the other operations that you said you're well outsourcing at?
Mark Cutifani: Thank you for the question.
Anthony O'Neill: Thanks, Sam. We're working on the mine plan now for El Soldado. I expect you'll start to see an uptick next year and really get full uptick the following year. But you'll start to see it come through next year. On bulk sorting, I think it's also worth mentioning that we're commissioning a bulk sorter at this point in time in platinum at Mogalakwena, and we have another bulk sorter due to start construction in nickel in Barro Alto in October, November. So we will start to have a spread across quite bit of the portfolio.
Mark Cutifani: And is it right that 18 months lead from start to getting to needful work?
Anthony O'Neill: Essentially 18 months, yes. And Sam, as we go forward into 2020 and 2021, we'll try to highlight for you some of that benefit and assets flowing through. Obviously, identifying it precisely as it flows through working capital and out markets and into EBITDA is a little complex, but we'll try to give you as clear a picture as we can in the years ahead.
Samuel Catalano: Okay, thank you.
Mark Cutifani: All right, guys. Well, thank you, ladies and gentlemen, for being with us today. Much appreciated. Again, a lot more for us to do and as Stuart said right from outset, we are still very much a work in progress at all fronts, and we're focused on continuing to improve the operations. We're pleased with progress, but still a lot more to be done and a lot more improvement to be had. Thank you.